Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Brooks Automation Q2 2018 Financial Results Call. During the presentation all participants will be in a listen-only mode. And afterwards we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, May 1, 2018. I would now like to turn the conference over to Lindon Robertson, Executive Vice President and CFO. Please go ahead.
Lindon Robertson: Thank you, Scott, and good afternoon, everyone. We would like to welcome each of you to the second quarter financial results conference call for the Brooks fiscal year 2018. We will be covering the results of the second quarter ended on March 31st, and then we will provide an outlook for the current fiscal quarter ended June 30, 2018. A press release was issued after the close of the market today and is available at our Investor Relations page of our website, www.brooks.com, as are the illustrated PowerPoint slides that will be used during the prepared comments during the call. I would like to remind everyone that during the course of the call, we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I would refer you to the section of our earnings release titled Safe Harbor Statement, the Safe Harbor slide on the aforementioned PowerPoint presentation on our website and our various filings with the SEC, including our annual reports on Form 10-K and our quarterly reports on Form 10-Q. We make no obligation to update these statements should future financial data or events occur that differ from the forward-looking statements presented today. I would also like to note that we may make reference to a number of non-GAAP financial measures, which are used in addition to, and in conjunction with, results presented in accordance with GAAP. We believe that these non-GAAP measures provide an additional way of viewing aspects of our operations and performance. But when considered with GAAP financial results and the reconciliation of GAAP measures, they provide an even more complete understanding of the Brooks business. Non-GAAP measures should not be relied upon to the exclusion of the GAAP measures themselves. On the call with me today is our Chief Executive Officer, Steve Schwartz. We will open with his remarks on the business environment and our second quarter highlights. Then we'll provide an overview of the second quarter financial results and a summary of our financial outlook for the quarter ending June 30th, which is our third quarter of the fiscal year 2018. We will then you’re your questions at the end of those comments. During our prepared remarks, again we will, from time to time, make reference to the slides I mentioned available to everyone on the Investor Relations page of our Brooks website. With that, I'd like to turn the call over now to our CEO, Steve Schwartz.
Steve Schwartz: Thank you, Lindon. Good afternoon, everyone, and thank you for joining our call. We are pleased to be able to have the chance to update you on the results of another strong quarter. In our Q2 growth and increased profitability remain the themes with revenue of $207 million up 9% from the December quarter and 22% from last year. EPS increased to $0.40 per share and bookings in the quarter were $238 million, with Semiconductor contributing $184 million and Life Sciences again above $50 million at $54 million. We forecast more growth ahead and as you’ll hear from us today innovation, new product development and value added acquisitions continue to be the fuel that’s accelerating our success. Although the stock market has been volatile of late due to uncertainty in the semiconductor supply chain, we could not be more secure in our strategy. We are gaining share with a strongest players in the market and in technology sectors where we add high value. In Semiconductors artificial intelligence, cloud computing, big data initiatives and 5G are technologies that are driving the tremendous Semiconductor storage and computational needs of the data economy. It’s the breath of applications that include memory and logic that are propelling an expansion in capacity and a new threshold in wafer fab equipment spending that’s unprecedented and may indeed be sustained. We are bullish about the long-term drivers in the Semiconductor industry and we believe our critical technologies are proving to be enabling the necessary capabilities for OEMs and end users, who will lead in these markets. Similarly in Life Sciences, we are seeing the steady increase in our opportunity related to sample management and measurement as high quality biological samples are the keys to cures for the most serious diseases facing the human race. We believe this market will continue to expand for the foreseeable future. In the midst of these opportunities, our focus remains value delivery and value capture in both of our end markets and I’ll use my prepared comments to give you an update on our performance in each of these sectors. First for Life Sciences, Life Sciences revenue came in at $49 million, up 40% from one year ago. Bio storage was up 46% and other products including automation and consumables and instruments contributed 34%, representing strong growth across the portfolio offerings. Organic growth was 28% for bio storage services and 16% overall. Bookings at $54 million gave us the best two consecutive quarter bookings in our history. Our pipeline remains robust and we are confident about our forecast for greater than 30% growth this year. In the quarter we added 32 new customers across a broad spectrum of biotech, pharma, clinical, consumer and academic and government customers. Notable among our wins, we received a multi-year multi-million dollar sample management contract to support UK based study for a major well-funded Life Sciences company. The scope of our work includes storage, handling and transport as well as laboratory services that we will be providing out of European sample hub in Germany. Cumulatively, we have received more than $30 million in bookings since establishing this strategic relationship. And in the quarter we added 22 new customers for a wide range of cold chain consumables and instruments including FluidX tubes, 4titude plates and filling and capping products. And last week we announced the acquisition of another bio repository business, BioSpeciMan, a small Canada based company with storage facilities in Montreal and Pennsylvania. BioSpeciMan is a high quality bio-repository, with first-class sample management standards and is a good fit with our bio-storage operation. The natural addition of more samples under management, it adds to our customer base and it gives us strong presence in the Canadian market where we believe there is more opportunity for expansion of our services. Integration activities are already underway and we anticipate the financial results from this acquisitions will be accretive immediately in the June quarter. You should anticipate that we will continue to deploy capital to build our offering in support of the sample management cold-chain, as we have a robust pipeline the potential acquisition targets of varying sizes. As I mentioned on our last call, we have established an operation that’s of a size and capability that can be leveraged to add revenue without significant additional costs. We’re on a trajectory for greater than 30% growth this year and we are also committed to delivering more profitability from this business. Towards that end operating profit in the quarter increased to $3 million or 6% more than doubling our Q1 performance and giving us strong momentum and high confidence to deliver 10% operating income in September quarter. For the June quarter, we forecast more growth with revenue reaching $50 million and further expansion of operating margin. It’s easy to be enthusiastic about this business and the enormous potential value it brings to our shareholders. And now for a look at our Semiconductor business, which continues to perform at a high level. Revenue in our Semiconductor segment came in at $159 million, up 12% sequentially from the December quarter and 18% over the same quarter one year ago. And that’s in spite of $9 million less in CCS revenue that’s a result of lower foundry spending. And bookings of $184 million bring semiconductor orders for the first half of our fiscal 2018 to $350 million, an indicator supporting our expectations for another robust year in semi-capital equipment spending. What might be most impressive is in the quarter we notched 28 new design wins across our semiconductor product portfolio. None of us can remember a quarter like this when so much engineering and design work resulted in so many important new orders. But we have the engineering and operational capability to adapt to these new product demands and we look forward to win volume orders for these products are expected to increase next year. This strong showing is a result of our superior technology capability and the close independent relationships that lead forward with our customers both OEMs and end users. I’ll give some color into our key Semiconductor segments beginning with some commentary about vacuum automation. In Q2 we continue to see strong growth in our automation business, our vacuum automation business represents approximately one-third of our semiconductor revenue with most of the revenue coming from deposition and etch process technologies, which include some advance packaging application. In the quarter, our total vacuum automation business grew 18% from the December quarter and 29% year-over-year, with the contribution from vacuum systems slightly outgrowing vacuum robots. As we indicated before, vacuum systems are enabling tools for Tier 2 OEMs who purchase process chamber ready automation platforms from us with the knowledge and trust that they will receive a system that will be readily accepted into a semiconductor fab. Over the years we have been building a meaningful vacuum systems’ business with many Korean and Chinese OEMs. We believe that these wins are important from a market share standpoint as these Asian OEMs are often advantaged when Korean and Chinese companies build fabs. And since the revenue we received for each vacuum system is typically 3 to 5 times the revenue we would get if we sold only a vacuum robot, the benefit from Tier 2 equipment makers is meaningful. In Q2 revenue from vacuum system sold to Korean and Chinese OEMs was just shy of 10% of our semiconductor product revenue. Meanwhile we have continued to cement our long-term relationships with Tier 1 OEMs where volumes are much higher. And in the quarter we had three new vacuum automation design wins including a new win for our meg leap robot on another Tier 1 OEM platform. Our forecast for automation product revenue is to increase again in the June quarter with record performance once again in vacuum robots and vacuum system. Advanced packaging revenue in the quarter was $11 million, down from $15 million in the December quarter, bringing us $26 million in the first half revenue compared with $43 million for all of fiscal 2017. We had four new design wins in the quarter and we continue to capture share of this new market. As I mentioned in the past this market segment is still difficult to forecast, because of our design win activity we are well positioned for any advanced packaging capacity increases. Finally we have very active quarter in our contamination control solutions business in terms of new business activity. As we forecasted in the quarter we’ve began to see a pickup at CCS with revenue climbing 15% quarter-over-quarter to $16 million. Though still down more than 30% from the same quarter one year ago, due to reduced foundry spending. That said, we're encouraged by the breadth of customers we're developing for CCS products, as we had a record 11 new CCS design wins in the quarter. Including tools for six different new fab customers in China, doubling our number of China CCS customers to 12. Additionally 3 of 11 design wins were for new memory customers, two for NAND and one of DRAM, bringing the number of memory fabs we've penetrated to 10. Overall the CCS market is developing as we forecasted with expansion beyond Tier 1 foundry coming through advanced memory fabs and new fabs in China. Just after the end of the March quarter, we announced the acquisition of Tec-Sem, a Swiss company with a long history and respected market position in the management of reticle that support the lithography steps in chip manufacturing. Think of a reticle as the photographic negative that’s used to print an image on a silicon wafer. Tec-Sem has a strong reputation and an A list of fab customers around the world, who depend on their solid designs and reliable systems to store and protect their valuable collections or reticles. Tec-Sem's products are in many ways complementary to the technologies we have in our CCS operations. Our CCS product portfolio includes tools that clean and decontaminate the carriers that are used to move wafers and radicals in a fab. Tec-Sem gives us reticle storage systems or stockers that offer high density reticle storage and protection of these multimillion dollar mass sets. We anticipate that with the expansion of EUV lithography as a critical technology and the increased value that must be placed on protecting and extending the life of the very expensive EUV reticles. There will be an opportunity for our combined engineering teams to bring high value reticle protection solutions to bear on the burgeoning EUV ecosystem. The synergy opportunities between our CCS business and Tec-Sem are significant and we've combined these groups together into our CCS business unit. Four years ago, we entered the contamination control business, that at time when we could feel that it was set to takeoff and indeed CCS revenue tripled in our first three years of ownership. Today, we have a similar feeling about an inflection in terms of the need for next generation or reticle management capabilities that are needed by our customers. The opportunity will be driven by needs beyond conventional reticle management, but especially for enabling capabilities surrounding and supporting EUV lithography. In the June quarter, we're forecasting an increase in our CCS business to approximately $23 million as foundry spending begins to percolate for capacity expansions in existing factories. Included in our forecast are the first installations of automated carrier cleaners for five nanometer qualification. Overall, we're particularly pleased with the performance of our Semiconductor business, our exceptional design win quarter is a testament to our capabilities and that our strategic R&D investments for innovative new products are on the mark of what our customers are looking for to meet their requirements for 7 and 5 nanometer technology deliverables. We’ll ride the wave of strong orders demand into the June quarter and we anticipate that our Semiconductor segment revenue will increase by approximately $10 million in the quarter. In total, our second quarter performance was very strong as demonstrated by our revenue growth and the additional design wins that we've secured. And we’re enthusiastic about our prospects for the future. In the June quarter, we look to demonstrate more results from our strong market positions with growth in both Semiconductor and Life Sciences. And that concludes my formal remarks, I'll turn the call back over to Lindon.
Lindon Robertson: Thank you, Steve. Please refer now to the PowerPoint slides available on the Brooks website under our Investor Relations tab. We begin with slide three, which is a consolidated view of our second quarter operating performance. Our top-line revenue grew 9% sequentially to reach $207 million. This brings us up to 22% growth year-over-year compared to the second quarter of last year. Both segments drove the growth. Sequentially, Semiconductor Solutions expanded 12% and Life Sciences expanded for the 11th consecutive quarter with 2% drove. On a year-over-year basis, Semiconductor grew 18%, while Life Sciences increased 40%. In the GAAP results, diluted earnings per share came in at $0.95 in the second quarter. We had $46 million of benefit on the bottom-line from reversing the valuation allowance reserve, which have been recorded against our deferred tax assets in the U.S. in our 2016 fiscal year. I fully acknowledge that this change in reserves provides more of an optics change than an economic earnings event in the quarter. However, I want to highlight the underline drivers in determining the release of the reserve. First, it reflects a turnaround in the cumulative profit results in the U.S. over recent years versus the cumulative loss position the company had accumulated in the years leading up to the reserve being booked in 2016. Second, it reflects confidence in our outlook to generate U.S. profits going forward and our ability to utilize the deferred tax assets. Finally, I will share that we arrived at this conclusion prior to applying impacts of the U.S. tax reform and then gained further confidence after considering the potential impacts of the tax reform. Now let’s address the primary dynamics of the P&L as we look at the non-GAAP results on the right side of the page. Non-GAAP gross margin came in above 41% and up approximately 30 basis points compared to the prior quarter. The improvement was driven by Life Science margins, which increased to approximately 40% in this quarter consistent with our projections for improvement provided last quarter. I will say more on the segments in the upcoming slides. SG&A expanded on a sequential increase of variable compensation accruals and some professional services expense, but you can see this was less than the revenue growth providing further margin expansion at the operating income line. Operating income was $32 million, an increase of $4 million or 14% sequentially. We saw additional improvement in the non-operating section of the P&L. Net interest expense was reduced modestly with interest income derived from conservative investments. Foreign exchange losses were $1.5 million less than the prior quarter and our tax rate was adjusted downward due to a change in the jurisdictional mix of income. In this quarter we had a non-GAAP tax rate of 10% and of course see an approximate tax rate of 13% for the balance of the year. Partially offsetting the improvements was an $800,000 decline in the joint venture earnings in Japan consistent with projections of softer capital spending in the OLED market. In total, we expanded the operating income margin 70 basis points and net income margin by 180 basis points. Earnings per share increased 26% compared to the prior quarter and was 42% above the EPS from second quarter 2017. Let’s turn to page four to begin discussion of segment results. In the second quarter Life Sciences revenue was $49 million, an increase of 2% sequentially. On a year-over-year basis Life Sciences grew 40% including the organic growth of 16%. The growth was well supported on both sides in storage services and in storage product offerings. The 2% sequential growth reflects 8% expansion across the business except for genomic services, which has a seasonal spike in December and declines in the March quarter. The total bookings for Life Sciences came in at $54 million and added to our backlog. I should once again emphasize that our Life Science bookings are a mix of short-term and long-term estimated realizable revenue so similar to our comments last quarter. While this continues to show strong demand that does not translate meaningfully into a book-to-bill ratio indicator. Life Sciences adjusted gross margin in the second quarter came in at 39.8%, up 340 basis points from the prior quarter. Margin expansion in the quarter was primarily driven by improvement in product margins and an improved mix within services. In total Life Sciences achieved record revenue and operating income at 6.4% we are on track to achieve a 10% operating income target by the fourth quarter. As indicated previously revenue growth, costs improvements and favorable mix is the roadmap to get to the 10%. Our next step is in the third quarter when we expect to have $50 million to $52 million of revenue. Let’s turn over to slide five. Semiconductor Solutions revenue increased 12% compared to the first quarter. We saw growth across all product lines sequentially including vacuum automation, cryogenic vacuum products, contamination control and services. We also saw strong growth year-over-year of 18%, which was supported by all areas except the contamination control solutions. While this area was down more than 30% the automation in cryo products were each up more than 30% highlighting the strength and diversity of our portfolio. The adjusted gross margin for semiconductor was 41.5% and operating income margins are nearing 20%. This is more than 400 basis points above one year ago and reflects significant structural improvement to costs and throughput achieved in the operations of our business. Let’s now turn to the balance sheet on page six. Accounts receivable increased by a modest 2%, with an improvement in day sales outstanding by five days. The inventory and payables balances increased commensurately supporting growth in both businesses and are particularly tight supply chain in the semiconductor space. We ended the quarter with $245 million in cash, cash equivalence and marketable securities, up $13 million from the December 31, 2017 balance. Let’s turn now to cash flow on slide seven. Operating cash flow in the quarter was $20 million, the benefit of the valuation allowance and net income is a non-cash event, so it’s deducted in the cash equation. You will see the investment in working capital of $10 million as mentioned and the other line show up this modest changes represented of a normal quarter. While we have had working capital increases in supportable segments this year, the largest shares supporting the semiconductor expansion. As Steve indicated since the close of the quarter we have acquired two business for cash. The cash used for both purchases, net of cash received has totaled approximately $16 million to-date. Let’s turn to slide eight to see an overview of those two acquisitions. We believe we have picked up two gems that complement our current offerings nicely. The Tec-Sem business fits into our contamination control solutions business and comes at the right time. We expect the reticles will be increasing in volume and usage with EUV and will become a larger dependency for contaminate free yields. Since entering the contamination control business, our revenue direct with fab has grown and regularly exceeds 30% of our total semi revenue. This acquisition will be incremental in the diversification of our customer waiting. The Canadian based bio-repository, BioSpeciMan expands our customer and geographic reach of the bio storage services business in Life Sciences. Our profile is very easy to integrate into bio storage services and our joint teams are already in motion to do so. I remind you that we continuously look for acquisition opportunities. Our primary focus is to build out the Life Sciences cold-chain offerings and reach, but we remain diligent to pickup opportunities in the semi space, which complement our technology offerings or our customer relationships. Our internal model drives us to seek our returns, which exceeds 13% return on invested capital, within a three to five year horizon. Let’s now turn over to slide nine and consider the guidance for our third fiscal quarter. Revenue is expected to be in the range of $215 million to $225 million, adjusted EBITDA is anticipated to be $43 million to $49 million, non-GAAP EPS is expected to be $0.40 to $0.46 per share. This guidance reflects an approximate $0.01 dilution to the non-GAAP EPS driven by the Tec-Sem acquisition in the quarter. By the fourth quarter, we expect the EPS will be benefiting from both of those acquisitions. The GAAP earnings per share is expected to come in at $0.28 to $0.34. And so that concludes our remarks as prepared, I’ll now turn the call back over to Scott to take questions from the line.
Operator: Thank you. [Operator Instructions] Our first question is from the line of Farhan Ahmad with Credit Suisse. Please go ahead.
Farhan Ahmad: Hi, thanks for taking my questions. My first question is on the CCS business it’s actually a little weak recently. Can you just talk about, how we should we think the growth in CCS going forward and what are the main drivers that will accelerate the growth for CCS?
Lindon Robertson: Can I just make sure I am understanding Farhan, which business you are referring to? 
Farhan Ahmad: Contamination control.
Lindon Robertson: Yes, okay. So contamination control is in the semi business and it is underneath our General Manager, Dave Jarzynka. And we do continue to have much optimism there. I am going to comment initially, I’ll let Steve chime in here. Last year in 2017 it had reached $84 million and that was up from $52 million in the previous year. While it’s still down we have been talking and we continue to see the demand picking up here in the second half it picked up in the second quarter modestly, in the third quarter and fourth quarter we expect it to continue. Whether we make it all the way to a growth year still remains to be seen on what investments are determined by the fab, but we think that we’re in the hunt for another solid year.
Farhan Ahmad: Got it. And then in regards to your Chinese and Korean equipment suppliers can you just talk about how much of their business is coming from sort of the newer equipment suppliers in Korea and China and how do you see the trajectory of that growth going forward?
Steve Schwartz: So Farhan, we got the Korean equipment makers now for quite some time. A lot of the Chinese equipment makers are relatively new so I’d say in the last two to three years. But what we see is that as they get more capability they win more of the process steps. And so the volumes generally are increasing and also there’s a lot of enthusiasm as you can imagine around some of the opportunities that exist in China where some of the equipment makers are putting some pretty significant forecast out there.
Farhan Ahmad: Got it, thank you that’s all I had.
Lindon Robertson: Thanks, Farhan.
Operator: And our next question is from the line of Edwin Mok with Needham & Co. Please go ahead.
Edwin Mok: Thanks for taking my question guys. So first just quickly housekeeping Tec-Sem you said there’s $0.01 impact is that just for GAAP or both GAAP and non-GAAP? And can you just roughly tell us how much the two acquisitions -- how much revenue the two acquisitions add to your June guidance?
Steve Schwartz: Yes, so this last year the estimated revenues was about $13 million on a GAAP basis and we ended up paying approximately $14 million after netting down the working capital. Not all of the payments made because as we shared at the press release time, we first acquired 93% from primary holders we still have about 7% closeout with minority holders. In the guidance we’re careful on this. We do have good orders, that we have visibility too, but with the experience that we’ve had being limited. The run rate of about $3 million a quarter or so I think is the right expectations about what we have folded in.
Edwin Mok: And then the $0.01 impact is that just some lower margins business overall or it’s just on GAAP results guidance?
Steve Schwartz: Yes, I'm sorry that’s a non-GAAP dilution point of about a penny and I would expect -- I will go back to the amortization after the Q and it will be spelled out for you there. But Edwin our expectation is that as we move through this quarter we’ve got some integration to do. As Steve mentioned the approximate location of this is really close to our CCS business in Germany. And so we see some synergies and some opportunities there and there’s good opportunities. So by time we get to the fourth quarter and we do see demand ramping in the near-term and with that demand and with our integration activities you’ll see it become accretive on a non-GAAP basis.
Edwin Mok: Great, that’s helpful. And then just kind of sticking with semi, I think your guidance at the midpoint even backing out the growth in CCS it seems like you guys are suggesting that your vacuum automation business can still continue to grow, we’ve heard all that you heard from some of your large customers talking about kind of lower levels NAND spending in the coming quarters just curious what’s driving the growth in the June quarter and how do you kind of see that business go on beyond the June quarter?
Steve Schwartz: Yes, Edwin, we’re also a little bit curious because we’ve heard mix results, but the order book is pretty strong and some customers are still more bullish than others. And our order book remains one that gives us pretty high confidence in growth again in the June quarter. So the bookings are strong and the demands for customers at least over the next months are pretty solid. So we’re busy and it’s a little bit surprising to us that we have probably the biggest variance we can remember in a while amongst the various OEMs, but we're pretty confident about at least what the next quarter looks like and especially in the vacuum automation side.
Edwin Mok: Okay, great. That's extremely helpful. And then kind of just quickly on Life Sciences you guys did this acquisition of this Canadian depository and then since like you guys are doing some work in Europe. I'm just curious, is geographic expansion a big driver there, I remember those of your example storage capability there has been based in U.S., is that correct and there is all the room to expand into international sample storage opportunity?
Steve Schwartz: That's correct, Edwin. So, basically it was an opportunity that came up because we happen to be a real really good buyer of repository in Canada. It's not all Canadian samples, they have a storage facility in Pennsylvania. And as a matter of fact even in Indianapolis in our European sites, we have samples from at least dozens of different countries in anyone of those sites. So, irrespective of where the bio storage -- bio repositories are. The samples are from all over the world. And that's pretty consistent with the model and you'll find that in almost any size bio repository they have samples from many countries. So geographically, it's a benefit for Canada because I think about half of our customers are Canadian customers, but only half of the customers were Canadian customers.
Edwin Mok: Okay, actually that’s helpful. One last one if you don’t mind me squeezing in, just I remember a lot of talk about compound pile of storage equipment or store that you guys have talked about before. How is that progressing?
Steve Schwartz: The chemical compounds in -- let me comment on this, if I'm understanding your question, I think you’re asking are we progressing in storing chemical compounds. In general the development is…
Edwin Mok: Yes, let me just correct, I'm talking about lower temperature sample storage equipment that you guys have talk about historically are you guys are trying to grow in that market?
Steve Schwartz: Yes, so, bio storage free trial. So, that's at the cryogenic temperature. And we keep making progress there, we did another million dollars in the quarter and again that's at a pretty low level, but consistent with where we've been, a little bit up from last year. But this is really steady slow progress and we win those one customer at a time on the automated systems. I think on the last call, we did talk about two pretty good size installations that will go in toward the end of 2018, early 2019 where we actually provide some automation that to fully automate these cryogenic systems that connect them together. So, we're really bullish about the opportunity. And this one continues to be at a slower pace than we had anticipated, but steady as we forecasted for 2018.
Edwin Mok: Okay, great. That's all I have. Thank you.
Lindon Robertson: And Edwin, I mean a follow-up on your question now I was able to confirm, but the extra amortization step up in other costs that would be in the GAAP results related to the acquisitions would be about another $1.2 million on a GAAP basis. So, while we said it would be about a $0.01 hurt on the non-GAAP, it would be about another $0.015 round numbers on a GAAP basis.
Edwin Mok: Great, thanks for clarifying that.
Operator: We've a question from Craig Ellis with B. Riley FRB. Please go ahead.
Craig Ellis : Yes, I'll start with just a housekeeping question looking back and clarifying and issuing my model for the reported quarter. Lindon, I know you mentioned the segment operating expenses, but I missed those, so can you just walking through what drove the sequential increase in OpEx in the quarter?
Lindon Robertson: Yes, with the accelerating performance, one item is the accruals of variable compensation and when we talk about variable compensation, this isn’t really cash in an executive it's across all employees, all employees participate in a variable compensation. So, we’ve taken the accruals up and when you see the acceleration of the annual performance the middle of the year, and you increment that you are picking up the year-to-date adjustment for this current year. And then this second element as we had some professional service expense that we incurred in the quarter. So when I would highlight about this is while the variable compensation accruals will to some degree provide some continued expense in the second half, not on a catch up basis it will level out a little more. It wouldn’t be weather structurally other than on a par performance here, so right, so which we are already accruing. And then on professional expenses we also don’t see that as being a structural add to the business. 
Craig Ellis : And is the accrual driver revenues or gross profit dollars or operating profit, what’s the driver to the accrual trigger?
Lindon Robertson: It’s largely the operating profit as well as revenue growth. And that’s on the cash based. When you go to the long-term you’d see the executive plan shift more to an ROIC weighting including the operating income as well, but the heavy weight. But in these accruals that I am referring to it’s on the current year, which is operating income revenue and of course gross margin is in there.
Craig Ellis : Thanks. And then Steve you mentioned in your prepared remarks 28 Semiconductor segment design wins in the quarter, which was an unusually high number, I don’t recall you’re mentioning that data in the past. So can you us some context around where that number might have been over the last four quarters or so? And was there any particular segment of the ones that you talked about whether it’s vacuum, robotics or CCS or advanced packaging that really stood out in terms of generating all those design wins?
Steve Schwartz: Sure, so Craig just to give you, this is a metric with very specific targets that we set out at the advance of every year. So the account teams and the engineering teams are aligned on the ones that we consider to be really important. Of the ones that are on our list that we did 28 design wins, 21 were targeted at the beginning of the year and some just come along and we’ll take them, but they may not have been as strategic. So the historical average for us is about half of that. So just to give you an idea in a typical quarter 15% to 17% would be pretty normal. And so to double it in a quarter is pretty outstanding. It’s something we used to report on the call years ago and back then it was in that 15% to 17% range too. But it’s a deliberate -- there is a deliberate set of wins that we set out to achieve and we kind of -- we had a really unusual quarter and a real testament to a lot of the capability. And on the terms of the of the wins, we think it’s really important to make the same presence in CCS in China that we have in the other regions. And so, we are not sure at what rate the expenses will take place, but we want to be there and we want our tools in those fabs because we also think that the model for some of the foundry activity is going to be what takes place in Taiwan. And so we want to make sure that we don’t just get design that we participate in all the volume that comes too. So 11 CCS wins in China is a huge accomplishment for us in the quarter.
Craig Ellis : Yes, that is and congrats to David’s team overall for the performance with the design wins. Connecting that activity in your comments that that really lent confidence to the businesses performance in 2019 and some of the comments about very near-term dynamics, you enter the quarter with strong backlog performance. Can you comment on the visibility that either do or don’t have for the back half of the calendar year? How is it looking for you and are there any other parts of business that would stand out CCS, advanced packaging, vacuum automation, et cetera?
Steve Schwartz: So across the board, Craig -- across the board the indications we have were strong we really get orders ordering in advance, but all of our customers give us an indication to make sure that we’re ready especially in these days when the supply chain is really tight. So the indications and the request for us and the audits on us to be prepared are pretty significant they would indicate that there is continued strength in the back half of the calendar year, but again anything can happen. And so we remain confident about what we hold orders for. But by and large the health of the backlog and the pressure from our customers give us an indication that at least readiness is the order of the day. So that’s about all we can say, I wish I could be more concrete. You can tell a little bit from the bookings again that people want to make sure that they are in the supply chain with claims to product, but again I think that’s going on probably across the industry.
Craig Ellis : Got it. And then lastly, I am not sure if this is for you or for Lindon, but there is a reiteration of the 10% operating margin target for the Life Sciences business and I think from the most recent quarter our gap there is about 350 basis points between where we’re now in that 10 percentage point target. What are the things that really close the gap, how much of that is either organic revenue growth or inorganic revenue growth or just gross margin expansion in closing the 350 basis points objective? Thank you.
Lindon Robertson: Yes, so I think you kind of see the balance of it come through a split of gross margin and operating expense leverage. So we still have progress to make in the gross margin and this is partly in the costs of our footprint and operations as we consolidated in Manchester. By the way we made substantial progress over the last two quarters. We’ve made it in two what I would call half stuffs to get to here thus far in the manufacturing costs of the operations in Manchester so they’re doing a great job in progress. And we still have a list of opportunities to close in on. And then similarly we’ve got operating expense as we described before we’ll yield some out of that in terms of holding our investments flat and continuing to work our integrations into the mix of what we have for efficiency. So you’ll see I believe the 3.5 point to be roughly half shared by the time we get to fourth quarter between gross margin and OpEx leverage.
Craig Ellis : Thanks for that, Lindon and good luck guys.
Lindon Robertson: Thanks, Greg.
Operator: We have a question from Paul Knight with Janney Montgomery. Please go ahead.
Paul Knight : Hi, Steve. Hi, Lindon. Could you talk about the BC3 uptake in kind of the capital equipment side of the Life Science business as kind of how it ramped up in the quarter?
Steve Schwartz: Yes, so the BC3 again makes steady -- we’re making steady progress there, Paul what we’re finding is that there’s a lot of a valuation that goes on when people take a BC3. So takes a considerable amount of conversation, but when we find customers take a B3C they don’t go back and buy a manual tool. So this is one that’s really encouraging for us. And on the larger automated store side that was a really healthy quarter for us, it was up 25% year-over-year and it generated about $9 million of revenue. So between the B3C around $1 million and automated stores around $9 million it was a pretty healthy quarter for us. Again we’re going to continue to focus on the B3C, there are customers who absolutely want that technology and just the need is a scientific one right now, but it’s not like a huge volume driver. But we are accumulating the right kind of customer base and we supplement that with the cryo carrier that we have and the filling station allows them to not just store the samples in an automated system, but also transport them through the facility at safe cryo temperatures.
Paul Knight : And Steve, with the BioSpeciMan acquisition what are your number of physical locations now globally? And is it making the sales cycle easier, I mean, what is it doing for you guys to have a network that is probably not matched by anybody else?
Steve Schwartz: Yes, so we have six sites right now. Paul what happens is it gives customers who think they need samples close-by, it gives them comfort to put them into a rather local bio repository and after we have the sample for a number of years they are very comfortable moving them to another location. So it give those economies to put them into a more economical site. But in terms of winning business the proximity does seem to help for first time wins on the business. So we’re a 6 right now we’re going to continue to do some consolidation we talked on the last call about another site that we’re building for a customer very close to a customer. And that’s an important one for us. So you may see us when there’s a site with -- that has enough economic advantage that can be large enough that we may put them close to customers here in the near term. But again we have to drive economies for it. And so we’ll always evaluate each one case-by-case. But 6 now going to 7 and we’ll make it probably back to 6 by the time we get to a year from now.
Paul Knight : And then lastly can you compare or contrast this quarter with the December quarter in terms of customer interest demand on bio storage and services?
Steve Schwartz: Again I think the demand continues to increase. We see a steady increase in the amount of outsourcing. We are not very specific about the sample count, but you can imagine we added somewhere around a million samples from existing customers in the quarter and that’s a really good quarter for us. And we’re going to continue to build that way, but what we find is more and more the customers are very comfortable with outsourcing and they are making that asset decision and we continue to see the trend building. So we’re really bullish the fact that we had 28% growth in bio storage business. We think that’s the path for us going forward.
Paul Knight : Thank you. 
Operator: We have a question from Amanda Scarnati with Citi. Please proceed.
Amanda Scarnati: Hi, so a quick question on the Semiconductor business. As you look at the linearity of the orders throughout the quarter, I know it’s a really strong quarter in terms of orders. How did that progressed was there a bigger push later in the quarter or was it sort of evenly spread out?
Steve Schwartz: Got you. Amanda, it’s relatively linear, I mean, we see bigger weeks and not, but we look at the data once a week and what we see is a pretty steady pattern. So when we were -- I give an example four weeks into the quarter we were on a trajectory to end up about where we ended up. And so it was pretty steady through the quarter, but that’s something that happen to us it’s not something that’s a normal pattern necessarily. But generally we had an indication -- in this particular quarter, we had indication from the start that it was going to be a pretty good size quarter. But we’re never sure until the last week of order taking. 
Amanda Scarnati: And then on the Life Sciences side, if you continue to add the smaller storage companies that have locations in various places around the world. Is there an opportunity to gain additional margin scale, or is it difficult to take out costs as the storage facilities are kind of spread out?
Steve Schwartz: So to give you an example, we’re looking at the means by which we put the samples in the most economical place right now. So what we can do is as we begin to fill a site there are some samples that are truly archived that can be moved to less expensive sites and if customers need some nearby we’ll empty space in a bio repository maybe move those samples to Indianapolis and free up space at a regional site for the customer. So that’s a daily activity that Dusty and his team go through and it’s -- we make sure that when we go to pick up a buyer repository that it’s a good margin business, if it’s a business model to begin with. But then there are things that we can do in terms of making good decisions about adding additional storage capacity, we always want to put that in the place where it makes the most sense. And right now Indianapolis is one of the best sites that we can imagine, and we still have a lot of capacity in the Indianapolis. But the margin of the business is really good, [the way Dusty] and his team manage it for long-term growth -- good long-term profitable growth in this business.
Amanda Scarnati: Great, thank you. 
Steve Schwartz: Thanks, Amanda. 
Operator: We have a question from Drew Jones with Stephens Inc. Please go ahead.
Drew Jones: Thanks, guys. Just one for me, looking at the 10% op margin metric that you talked about to exit the year on, and Lindon you’ve kind of mentioned the possibility of scaling back some investments spend in the fourth quarter to get there. Are there any growth opportunities that could be impacted or restricted from that sort of cost containment just to get to the operating margin bogie?
Lindon Robertson: No, and I appreciate the question because what we’ve said is Dusty and the team will be making some specific pockets of investment, but they will also be realizing some savings and efficiencies out of our other areas. In large part the sales structure the team is in place to deliver through this year and even going into next year. And so that’s why we have confidence that as we grow we’re not going to be adding expense structure. But under the coverage there is still a little bit coming out and going in and we’re not sacrificing top growth opportunity for expense savings here.
Drew Jones: Thanks guys. 
Lindon Robertson: Drew, thanks very much. 
Operator: [Operator Instructions] And we have a question from David Duley with Steelhead Securities. Please go ahead.
David Duley: Thank you for taking my questions. Congratulations on nice results. A couple of questions for me, as far as this new acquisition. I guess, Tec-Sem, could you perhaps take a stab at what you think the size of this market is going to be in a year or two or help us understand what the potential market opportunity is?
Steve Schwartz: So Dave, it's a really good question. I think if we put a peg on this one, we guess that this is a $30 million opportunity that could grow to $50 million here in the next few years. So, it will depend on the product that we've put together in and around EUV. We know about the size of their reticle storage market probably around 30 today and we feel really good about that. And again depending on the amount of acceleration we get from the EUV site that will determined how big and how fast this can grow.
David Duley: Okay. So, the market expansion is mostly EUV driven?
Steve Schwartz: The incremental market from today, that's right. Because the Tec-Sem team has a really strong presence in the radical management market today and we think that additional growth will come from the products that we develop in and around EUV. We have the EUV carrier cleaner already in the CCS business, but we think that the value and the complexity of handling the reticles for EUV might bring us other opportunities in terms of how those reticles are stored.
David Duley: And that leads me to my next quarters as far as the Brooks cleaning business, what impact does EUV have on that business does it expand the size of that market?
Steve Schwartz: We don't anticipate that it would expand the size of the Brooks cleaning business, that will be a volume and process step driven capability, but I don't have a good assessment of that yet, David, it's good one for us to think about but we don't know why it would necessarily change meaningfully. I will tell you that the impact of the iron implant for example on the photo resist process does cause different contamination that people make sure to clean the wafers and clean the fop and I can't say that we know the impact of EUV on something like that yet.
David Duley: Okay. And then as far as the Brooks business goes you are forecasting a nice bump up in the June quarter and I'm assuming September quarter would be up as well. How much of the increase is that you expect over the next couple of quarters that are driven by memory versus the foundry logic space? And then also as another vein how much do you expect the Chinese wins in this business to contribute to revenue in calendar 2018 or however you’d like to characterize it?
Steve Schwartz: We don't have that specificity of the breakout right now. But the foundry business is beginning to increase. So you see some from that but we -- and we always continue to forecast that the number of these cleaners going into memory fabs will be significantly less that go into a high end foundry. But we don't have that specificity to give you yet, but we are pleased by the breadth and the number of different customer applications we have besides just Tire 1 foundry. 
David Duley: And just perhaps an idea of when you might see more Chinese revenue or any sort of guess as to when you start to see significant revenue from that geographic region?
Steve Schwartz: So, we'll see some revenue beginning in Q4 period of our fiscal Q4, but I don't know what to tell you about, when it will be appreciable because again we'll have orders as other equipment companies have orders for populating those fabs.
David Duley: Thank you very much.
Steve Schwartz: Thanks, Dave.
Lindon Robertson: Thanks, Dave.
Operator: There are no future questions at this time.
Lindon Robertson: Okay, Scott. I think we can wrap up. And I'll just extend my thanks to all the analysts and investors that have listened in with us. And we look forward to talking to you again this time next quarter. And thank you very much.